Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Axalta Coating Systems' Second Quarter 2016 Earnings Conference Call. Presenting today will be Charlie Shaver, Chairman and Chief Executive Officer and Robert Bryant, Executive Vice President and Chief Financial Officer. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Today's call is being recorded and replays will be available through August 5. Those listening after today's call should please note that the information provided in this recording, will not be updated and therefore may no longer be current. At this time, I would like to turn the call over to Chris Mecray, Vice President of Investor Relations for few brief legal notices. Please go ahead sir.
Chris Mecray: Thank you and good morning. This is Chris Mecray, Axalta's VP of Investor Relations. We appreciate your continued interest in Axalta and welcome you to our second quarter 2016 financial results conference call. Joining us today are Charlie Shaver, Chairman and CEO and Robert Bryant, EVP and CFO. This morning, we released our second quarter financial results and posted a slide presentation to the Investor Relations section of our website at axaltacs.com, which we will be referencing during this call. Both prepared remarks and discussion during this call may contain Forward-Looking Statements reflecting the company's current view of future events and a potential effect on Axalta's operating and financial performance. These statements involve uncertainties and risks that may cause actual results to differ materially from those forward-looking statements. The company is under no obligation to provide subsequent updates to these forward-looking statements. The presentation also contains certain non-GAAP financial measures. The appendix to the presentation contains reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For additional information regarding forward-looking statements and non-GAAP financial measures, please refer to our filings with the SEC. I would now like to turn the call over to Charlie.
Charlie Shaver: Thank you and good morning everyone. We have a number of developments at Axalta, we are excited to share with you today. We delivered a great second quarter, we have announced three highly complementary high-return acquisitions in June and July and we continue to deliver on our long-term strategic goals. If you would turn to Slide 3 of our presentation, we generated solid organic sales growth and continued strong profitability as well as cash flow from business as a whole in second quarter. This gives us continued confidence and our ability to need the full-year goals that we laid out back in February and affirmed in April during our last quarterly call. Second quarter net sales rose 4.2% from last year before the impact of currency translation. This growth was driven by fairly balanced combination of organic volumes and strong price and mix including robust growth in performance coatings as well as stable transportation segment net sales in spite of demand challenges in certain commercial vehicle end-markets. Adjusted EBITDA was largely flat in the second quarter at $253 million, versus $256 million last year. You may recall that we mentioned on our last call, the comparison would be something of a hill to climb against last year’s particularly strong second quarter, which included strong refinish performance and robust volume growth rates in both transportation and end-markets. Accordingly, we are very satisfied with our results for the second quarter, given what is a difficult year-over-year comparison. Adjusted EBITDA margin for the second quarter was also very solid, up overall 30 basis points to 23.7% versus 23.4% last year. This outcome includes good volume and price drop through particularly from performance coatings. Focused on our productivity initiatives, we remain on-track for the full-year target of achieving $60 million in combined savings from the Axalta Way and Fit-For-Growth programs. In the second quarter, we made progress in implementing standard and automated processes to improve efficiencies and takeout costs in certain back office support functions. We also completed our RV consolidation initiatives in EMEA with the opening in Germany of our EMEA Tech Center, which consolidates employees from several locations in the region.
.: Dan’s team has undertaken a [comprehensive] (Ph) review of the opportunities across our global infrastructure to prioritize productivity enhancement projects and have initiated key productivity project in Montbrison, France industrial powders plant to improve product costs and throughput. A particular importance, Axalta remains squarely focused on investment in the next generation technologies, products and manufacturing processes and our commitment to this technology is seen in our annual spend of around $170 million or over 4% of our net sales annually. In the second quarter, we had numerous product launches and new customer approvals, including a new pack Caterpillar approval for our recently introduce AquaEC 6100 high performance e-coat. The launch of our architectural grade Alesta-Master-Color product and industrial for Latin America. In the new product launch of just Centari high productive refinish coatings line in Latin America. Regarding our balance sheet and cash flows, the second quarter saw demonstrated progress and significant year-over-year improvement driven principally by - working capital performance. We finished the quarter with near doubling of our cash flow from operations to $197 million while also pre-paying $100 million of our term loans in April. As we continue to make progress on our debt reduction goals. Our improved cash flows enabling a combination of absolute debt reduction as well as the headroom to make some tuck-in acquisitions to fuel our growth strategy. Consistent with our long-term strategy, we announced three bolt-on acquisitions in the past month. We are excited about the prospects for these businesses both in terms of strong available synergies as well as the ability to accelerated growth in key market segments. We believe these deals will provide compelling returns on investment for Axalta. I would like to offer a few words on each one of these transactions. First, at the end of June, we announced a definitive agreement to acquire DuraCoat Products, the number four player in the North America coil coatings market. This acquisition places Axalta strongly in a high value portion of the coils coating market in North America, starting niches and commercial construction and other general industrial end-markets. This 30-year-old business is well established highly regarded by its customers as an innovator in coil coating technology that fit with our existing coil coatings businesses highly complementary offering significant synergies as we face the market as a single entity with incremental and intellectual property for Axalta as a result. Secondly, we announced the acquisition of high performance coating of Southeast Asian supplier of mainstream refinished coatings, which clearly enhances our presence in the Asia Pacific region with an expanded product offering as well as stronger sales and service capability for customers. The combination of strong regional brands with our global refinish support capability offers a compelling growth and value create proposition for our company and their customers. We are excited to close this transaction. Third, last week we announced the acquisition of the automotive interior Rigid Thermoplastics coatings business of United Paint Chemical Corporation based in Michigan. This transaction offers Axalta strong set of products to serve automotive interiors and a platform from which to further grow in this channel overtime. We are also thrilled with the opportunity that this deal offers when combined with Axalta's already strong product development team and offers the possibility of further organic extensions into this marketplace. The acquired business already has product approvals and long-standing relationships with many of the global OEMs developed over their 60 plus year history including those, which Axalta already works with closely. In terms of financial impact of these transactions, the combined 2015 net sales of these businesses were around a $100 million with a nice growth trajectory as we move into 2016 and 2017. The acquired businesses have attractive profit margins, which reflects generally niche oriented business areas within their respective coatings markets. We see multiple top-line and productivity synergies to further add value to the combined businesses. In short, these are exactly the type of tuck-in transactions that we have sought, which we believe will continue to produce strong return on investment for Axalta. We are also pleased that the portion of these deals including earn-out provisions to further de-risk returns while incentivizing existing owners to achieve the planned growth rates. Although, we have already achieved our overall volume objective with regard to deals that we expect to close in 2016, we continue to work on active pipeline of transactions that if closed would also represent similar opportunities to enhance investment returns. Timing is always difficult to predict, but we remain focused on this aspect of our stated strategy and will continue to be an opportunistic buyer. Notwithstanding these M&A deals, our free cash flow continues to be directed towards delevering and we will continue to believe we will achieve our net leverage goal of two and half to three times within the next year. Looking at our plans for the full-year 2016, we remain on-track to meet our full-year metrics outlined in February. Our top-line growth target of 4% to 6% excluding currency remains achievable based on year-to-date performance and our continued expectations for solid second half volume growth from our end-markets. We are also confirming our full-year $900 million to $940 million adjusted EBITDA targets and our first half has been supportive of this range particularly with a second quarter now completed. We remain committed to achieving these and the other targets we have outlined, which offers balanced mix of top-line growth as well as productivity enhancing initiatives. Earlier in the year, we acknowledged the apparent [anxiety] (Ph) of the markets regarding the cyclical health of our end-markets. While noting that we believe, we have executing the year with above market growth. Although, no company ever hit that finish line exactly as planned, we are pleased that we are on-track to grow the company in most regions and end-markets in spite of some of the persistent headwinds. We face continue challenges from any emerging market economies as well as weaker demand from some heavy-duty truck and other commercial vehicle products. That said, our core refinish customers and sustained demand in automotive OEM have enabled our overall performance to track expectations and we believe the second half will bring growth opportunities to allow us to hit our targets. We look forward to sharing this progress demonstrating Axalta’s continued growth in an otherwise fairly flat global economy. To summarize, we are very pleased with our results for the second quarter and we believe, we remain on-track to meet our full-year 2016 targets. As a company, we remain focused on shaping the culture of growth, executing on our operating plan and delivering our strategy and related milestone metrics. As I have noted before and it bears repeating in a climate of lower global growth, our business remain anchored in the stable automotive refinish market, which offers both strong cash flow and structural growth opportunity in part to our water borne products, which are widely regarded by our customer and industry as the highest quality and most productive in the marketplace. We are also optimistic about our growth plan for our industrial coatings business based on bottoms up sale efforts leveraging are increase investment in that market. And finally, we are intended on growing in transportation coatings through focus on the customer and continued product innovation. We successfully gained share in this segment through our ability to tackle complex paint systems and help our customers achieve industry leading levels of productivity on their paint lines. Robert will now walk us through Axalta’s financial results in a little more detail. Thank you. Robert.
Robert Bryant: Thanks Charlie, and good morning everyone. Please turn to Slide 4 for a summary of our second quarter consolidated results. Net sales in the second quarter on a constant currency basis increased 4.2% year-over-year, driven by strong 7.8% growth in performance coatings offset slightly by 0.7% contraction in transportation coatings. This growth was driven by a fairly balanced mix of 2.8% volume growth coupled with 1.4% average price realization. Foreign currency translation reduce reported net sales by 6.9% in the quarter, which was somewhat less than 11.1% currency headwind in the same quarter a year ago and fairly in-line with the 6.4% seen last quarter. The majority of the currency impact seen in the quarter and estimated to come in the second half of this year relates to the valuation of the Venezuelan Bolivar. We also review the basket of our largest currency exposures in the appendix for this presentation. Looking at sales volumes in the second quarter, we accomplish solid 2.8% volume growth led by performance coatings with growth in all regions. As well as in transportation coatings, which saw volume growth across developed markets offset by ongoing weaker results in emerging economies, particularly in South America. Positive price contribution of 1.4% in the second quarter was generally as expected, as we have noted overtime that we expect volume to exceed price as a bridge component of net sales. For the period, we also saw more price contribution from performance coatings and transportation coatings, again to be expected in the currency competitive environment. Second quarter adjusted EBITDA of $253 million was just shy of the very strong $256 million result same quarter last year. This profit growth included a 30 basis point bounce in adjusted EBITDA margin to 23.7% driven by positive volume and price leverage as well as savings from cost improvements and productivity enhancements and offset partially by foreign exchange impacts and ongoing growth investments across the business. Moving onto our Q2 2016 performance coatings results on Slide 5. Performance Coatings segment net sales decreased 7.8% for the quarter year-over-year before foreign exchange impact, again driven by growth in all four regions. 5.9% volume growth was also driven by all four regions with North America and EMEA continuing strongly and other regions experiencing varying performance between the two end-markets. Selling prices in the segment increased 1.9% led by solid increases in refinish and relatively flat overall selling prices in industrial. This net sales growth was offset by 8.8% currency translation headwinds compared to 12.1% headwind seen in Q2 of 2015. Refinish net sales increased 9.3% on a constant currency basis versus last year's second quarter driven principally by volume growth, coupled with expected price gains across most regions. This was offset by 11.8% foreign currency exchange impact. Constant currency net sales and our industrial end-market increased 3.7% year-over-year including strong contribution from EMEA and outgrowing our basket of end-markets for the period. In the second quarter, volumes and industrial grew solidly while price was largely flat, which met our expectation for the business overall and demonstrated the modest sequential volume acceleration that we expect for the full-year coming from our deliberate bottoms-up market approach and product development. Performance Coatings generated adjusted EBITDA of a $157 million in the second quarter versus $162 million in Q2 2015. This result was driven by a positive drop through effect of both volume and price as well as variable cost leverage, though offset by unfavorable currency impact and some increased investments been to support growth initiatives. Adjusted EBITDA margins were fairly steady in the period from last year's Q2 at 24.9% down 50 basis points from 25.4% last year largely reflecting the FX and investment spend impact mentioned above. Switching now to our Q2 2016 Transportation Coatings results. Net sales in Transportation Coatings decreased 0.7% year-over-year in the second quarter before currency exchange headwinds of 4.2%. This result was driven by moderate constant currency growth from light vehicle as automotive production remains largely stable, more than offset by weaker results in the smaller commercial vehicle end-market, largely due to slower North American truck production as well as some impact from non-truck vehicle markets primarily again in North America. Light vehicle end-market Q2 net sales increased 1.5% excluding foreign currency translation with growth led by North America and EMEA offset to a degree by weaker performance from South America and Asia Pacific. The weakness in South America has essentially continue to pace in the first quarter, while Asia Pacific saw the impact from slower production due to certain plant shutdowns in China in the period and certain customers sought to realign inventories in the sales channel. Commercial vehicle end-market net sales declined 8.3% excluding foreign currency translation, which was somewhat similar to the 9% decrease seen in the first quarter and reflect an ongoing slower heavy-duty truck production that began in Q4 of last year while broader weakness in the non-truck related end-markets such as agriculture and construction equipment also continues. Transportation Coatings has generated adjusted EBITDA of $95 million in Q2, up slightly from $93 million a year ago with positive price drop through and some variable cost benefit offset by unfavorable foreign exchange impacts and slightly lower volumes. Margins remain strong however, and increased 150 basis points from 20.5% in second quarter of last year to 22% this past quarter. Including the benefit of both price and mix elements as well as some help from the Axalta Way savings and variable cost relief year-over-year. This was partially offset by currency headwinds and modest investment spending to support certain regional growth plans mostly in light vehicle. Looking at some key balance sheet items on Slide 7. At the June 30 close date, cash and equipment totaled $480 million, up from $420 million at first quarter end, while full reported debt was $3.4 billion resulting in a net debt balance of $2.9 billion. Our net debt to LTM adjusted EBITDA ratio was 3.3 times at quarter end, down from 3.5 times at Q1 end. The improvement in the quarter came from a combination of stronger adjusted EBITDA and better overall working capital performance including significant contribution from both inventory and payables line items offset somewhat by use of receivables fairly in-line with our expectations for the quarter. Free cash flow in the second quarter totaled $173 million, a notable improvement versus $79 million in the second quarter last year, net of CapEx of $25 million in both periods. We continue to focus intently on working capital performance in our business with an eye towards longer term reduction in capital intensity. Regarding capital allocation, we continue to focus our free cash flow on debt reduction targeting 2.5 to three times net debt to LTM adjusted EBITDA within a year. Although M&A activity could impact timing, if we see opportunistic place in the market. We have planned to spend somewhere between $50 million and $100 million in 2016 on acquisitions and our recently announced deals have realized this plan, but it will not preclude us from reaching our overall net leverage goals. We are confident that the returns associated with these transactions are far in excess of those we achieved from debt reduction given our average cost of debt of only 4.8% today. That said, we did pre-pay a $100 million on our term loans in April as Charlie noted earlier. Our debt reduction goals reflect our desire to minimize equity market volatility risk and hence it continues to be a priority for excess cash flow. In terms of our ongoing focus on optimizing our capital structure, we continue to monitor developments in the debt markets and post Brexit volatility appears to have moderated. As previously noted, we plan to act opportunistically to refinance our debt, if the economics are favorable. In the meantime, we are pleased to announce that Standard & Poor's raised our corporate credit rating notch to BB from BB minus in late June. Turning to Slide 8, our press release and investor presentation outline our guidance component for 2016 financial modeling, I would like to offer a few added comments on guidance. We continue to expect 2016 net sales growth of 4% to 6% on a constant currency basis. As previously noted, we assume ongoing growth in our core markets as the basis for this forecast, though clearly certain end-markets in the region remains pressured and in several cases are incrementally weaker than the start of the year, including North America heavy-duty truck and the Latin America region. Still, we continue to expect to exceed overall market growth with our industry leading products, process and manufacturing technologies and specific product introductions and market extension opportunities based on our bottoms-up strategy to extend our presence in underserved markets and geographies. We have updated our FX assumptions as indicated in the appendix to our earnings presentation and continue to expect reported net sales for the full-year to be relatively flat given exchange rates. Although, the bulk of our foreign exchange basket has moved favorably in recent months, we continue to face expected headwinds in the Venezuelan Bolivar as highlighted in our filings. Our expectation is for net sales growth before currency translation impact to come from most regions and end-markets, with the exception of South America where persistent economic weakness has led to real market contraction for the full-year, albeit at levels of impact lower than seen last year. Refinish market dynamics continue to be stable and supportive for overall expected core growth and we anticipate this to continue and offer a solid base for overall consolidated growth. We continue to gain market share across global refinish as well, most notably from geographic diversification, extension of our strategy to offer a broader array of products and multiple channels and through ongoing consolidations of end-customers in several regions. Our industrial end-market also remained stable overall and our plans to outgrow these markets in most regions remain on-track. Today, we have demonstrated constant currency net sales growth in the mid single-digits, including some severe market headwinds in areas including North America energy related markets. In spite of that, our new customer wins have increased nicely year-to-date and are running in the low double-digits for the first half of 2016 as a general indicator of success in these new selling efforts. We continue to see light vehicle net sales growth in the low single-digits still in-line with independent market forecasters, which should also be augmented by modest share gain in markets where we have already won new positions for customers. We acknowledge that the forecasters such as IHS have slightly lowered global forecast for light vehicle production after the recent Brexit vote in the UK, but we have not seen a measurable impact from this political event in our business, nor have customers indicated any near-term concern that would force the reconsideration of our outlook for 2016 at this point. Although we have 2% to 3% of consolidated net sales from the UK across our businesses, much of that is refinish as well as industrial. Therefore, we are not broadly concerned about this exposure at this time. As we mentioned in April, commercial vehicle market performance is slower than our initial year guidance and our second quarter results confirm this slowing, albeit at a rate of decline less severe than seen in the first quarter. We still do not anticipate significant outgrowth versus overall commercial vehicle end-markets in our current plan for the year. The slowing in certain non-truck markets in commercial vehicle in Q1 was larger than expected at the beginning of the year, but the financial impact of this since our smallest end-market is not enough to materially alter our overall growth plans. For 2016, we continue to expect adjusted EBITDA to fall within a range of $900 million to $940 million consistent with our outlook offered back in February. This outcome include some puts and takes relative to our initial expectation as Charlie mentioned, but we are pleased that the overall path remains achievable by our best estimates. The outlook is based on stable incremental margin on our planned mid-single digit net sales growth and supported by guided additional productivity savings from our ongoing Fit-For-Growth and Axalta Way savings initiatives. This is partially offset by anticipated currency impacts and continued incremental investment spend on growth. Thought now declining in absolute levels as we have established adequate infrastructure and resources across our end-markets to support planned feature growth. Regarding the cost related to our Fit-For-Growth and Axalta Way initiatives. We remain on-track to meet our previous guidance of $25 million in expense for the full-year, which is materially lower than 2015 as these programs mature. As we consider the facing of financial results for the back half of 2016. We would first note that our second quarter result was somewhat stronger than we earlier anticipated as alluded to in our prior commentary regarding a difficult year-over-year comparison and witness the very solid growth we actually reported from the Performance Coatings segment in the second quarter. For the remainder of the year, we expect both third and fourth quarters to be fairly solid, but with somewhat stronger fourth quarter top-line and adjusted EBITDA relative to third. This is based on broader assumptions of volume development across our businesses, as well as they seem to moderation in volume growth from Performance Coatings sequentially in the third quarter compared to the second quarter. All Other model expectations remained unchanged from our earlier guidance updates. We expect interest expense between a $180 million and $190 million excluding any potential refinancing of our debt. Our adjusted income tax rate to fall between 25% and 27% of diluted share count of 245 million shares, capital expenditure of approximately $150 million and annual depreciation and amortization of approximately $320 million, which represents an incremental guidance element this quarter. And finally networking capital in the range of 11% to 13% of full-year 2016 net sales. This concludes our prepared remarks. We will be pleased to answer any of your questions. Operator would you please open up the lines for Q&A.
Operator: Thank you. At this time, we conducted a question-and-answer session. [Operator Instructions] Our first question is from the line of PJ Juvekar, Citigroup Please proceed with your question.
DanielJester: Hi, good morning. This is Dan Jester on for PJ.
Charlie Shaver: Hey, good morning Dan.
Robert Bryant: Good morning, Dan.
Daniel Jester: Good morning. So in your first quarter and this inclusive of the performance segment. In the first quarter, you had a pretty substantial foreign exchange headwind, but you were able to grow margins in that business year-over-year about 100 basis points. In the second quarter, I know you called out that FX was a little bit stronger sequentially, but margins decline. So is there something else going on there and maybe you could help me bridge kind of the first quarter versus the second quarter on margin close?
Robert Bryant: So the FX impact in Performance Coatings in general that we saw especially compared as we look at the Transportation Coatings segment, is really more reflective of the mix in sales in each period from the countries with the higher currency exposure. I know you are asking overall, but the since the overall is comprised by both performance and transportation just to highlight that. So part of what you are seeing is the fact that the OEM business in particular in some jurisdictions of higher levels of FX impacts such as in Latin America that business is smaller in size than it was given how much it's contracted and therefore you are seeing more of an FX impact relatively speaking as a percentage of the overall mix of Axalta in Performance Coatings.
Daniel Jester: Okay. And then moving to the commercial vehicle business. Thank you for the color that you gave in your prepared remarks. I’m just wondering what kind of visibility do you have on your customers second half plan may be kind of split between the truck and the non-truck market and it seems like at least for you that comparables do get a little bit you are going in the second half. So can you kind of talk about sort of the relevance - what the market is doing versus how we should think about your own business performance in the second half? Thanks.
Charlie Shaver: Yes, this is Charlie. Our visibility when you think about in the developed markets like North America, we normally get one to two quarters as they look at their backlog and they let us know how things are going. And you are right, I think as we look into the second half of the year, when you look at truck bills North America large prime vehicles, the majority of the pullback is pretty much half and see pretty stable operating rates. I think this year number around 230,000 bills seems to make sense. In the non heavy-duty truck and bus segment when we get into just more spray customers that tends to be hundreds of accounts and I would say most of those customers at EMEA here in North America and Latin America they can normally look at about a quarter and get a pretty good view, those businesses are not that dynamic, they are pretty much GDP driven, but I think the second half of the year is a little more predictable than we saw in the first half. Certainly we see more stable conditions than we did as a couple of these markets for pulling back earlier, late last year and earlier to this year.
Daniel Jester: Great. Thanks very much.
Operator: Our next question is from the line of Ghansham Panjabi with Robert W. Baird. Please proceed with your questions.
Ghansham Panjabi: Hey guys good morning.
Charlie Shaver: Good morning Ghansham.
Robert Bryant: Good morning Ghansham.
Ghansham Panjabi: On the auto refinish growth of 9.3% for the second quarter, I guess first of what do you think the market as a whole grew as you see relevant? And second, you also mentioned expected share gains from back half of the segment on Slide 3. I guess what segments of the refinish market are those share gains coming from?
Charlie Shaver: I mean I think we saw growth in all four regions on refinish. So you kind of have to look at regionally how you think those markets are growing, I would tell you in North America and in EMEA, refinish markets are flat to may be up 1% to 2%. This year fairly Asia Pacific growing somewhat faster than that when you look at areas like China and India and in Latin America basically flat. So, I think that what we have seen on share gain versus just certainly picking up some from just slight market growth, but I think share gain is coming in the form of technology where more we are seeing really rapid growth in our water borne products around the world. So there is a mix change there going on as well, it certainly effect volume, but we are happy with that. But then also just people are looking for more productive systems and a lot of that growth around the world is coming from that as people not only shift from lower end products in some cases higher. But even in some of the lower products people looking for more productive systems better color match, all the things you have heard us talk about before. So I think it was a big step-up in the second quarter for some specific reasons, but overall, again I think its customers coming just looking for ways to be more efficient, more productive and we think across the chain whether it’s economy, mainstream or premium products, we saw growth in all four regions.
Robert Bryant: And Ghansham just to complement what Charlie said. As you know, we had a strong second quarter in refinish last year. So the strong performance this year, I’m sure calls out of couple of questions. And the short answer on that at the customer level is that we have had some quite a bit of customer win in North America and as we have converted those shops and been in the process over the last few quarters, we are starting to see the top-line impact of that. And then secondly in the European region, we have also had some nice wins and as those shops have interpreted over you are also starting to see that ramp up as well.
Ghansham Panjabi: Okay. And I guess just my second question, I mean obviously we are halfway through the year, your EBITDA guidance is still quite wide. I guess what would drive the significant variance between the high and low-end from your perspective. Are you kind of factoring in some volatility or noise associated with Brexit? Thanks so much.
Charlie Shaver: I think as we think about the year, we are very happy with the performance in the first half and I think it’s again just bears various mentioning that the overall markets have been quite volatile and there have been a few events. Brexit is not a major component for us, the UK is only 2% to 3% of our total sales as a company. Most of those sales are in refinish and industrial, which are pretty stable markets for us in that region. So given the overall low sales contribution or lower sales contribution coupled with the businesses that we are in there, that we don’t think will be major drive for us now. How that develops in the back half of the year in terms of how the overall European Union reacts to Brexit that could be something, but as it currently sits today, we don’t see that as a material change in terms of how we are thinking about the region. As we think about the guidance more broadly, the top end of the range or the bottom end of the range, as we have highlighted before, it’s really about global macro and if global macro is supportive, I think you will continue to see as perform well. If global macro pulls back, I think that would pull us down more towards the bottom end of the range.
Ghansham Panjabi: Okay. Thanks so much.
Operator: Our next question is from the line of David Begleiter with Deutsche Bank. Please proceed with your question.
Jermaine Brown: Hi. Good morning, gentlemen. This is actually Jermaine Brown filing in for David.
Charlie Shaver: Good morning, Jermaine.
Robert Bryant: Good morning, Jermaine.
Jermaine Brown: Good morning, good morning. In regards to these three bolt-on acquisitions. Can you just comment on the margin profile in relation to the overall companies EBITDA margins?
Robert Bryant: So the acquisitions that we have made over the last months, I think are reflective of companies that are in higher margin niche coatings markets that have similar competitive dynamics as many of our markets in which we already participate and also in geographies where those businesses have attractive margin profiles. So I think compared to the overall company margin, it’s in-line, with how we think about things and as we move forward I think we see opportunities to increase those margins as we integrate those companies into Axalta and go after some of the synergy opportunities.
Jermaine Brown: Understood and in terms of the M&A pipeline can you just comment on the status of that and what sort of returns are you looking for going forward?
Charlie Shaver: Yes this is Charlie. As part of the M&A pipeline I think it remains I will describe it pretty robust, it's really the last two years we have looked at numerous opportunities around the world, you certainly see the profile right now we have now done bolt-ons in EMEA, well will actually in all four regions now. So I think we continue to look at opportunities with equal weight around the world. Clearly North America is a preference in certain markets for us just because they help the economy, but I think we will continue to look at opportunities around the world and remain disciplined. I think we remain disciplined in the multiples we will pay, in some of these acquisitions we look to stagger the payments and do earn-outs to keep the owners involved and excited about to delivering on some of those synergies and growth opportunities. So I think we will remain disciplined on what we will pay for acquisitions, there is not a specific - every one of them is a little bit different in what we are looking for as far as our return, is some cases it's more growth, in some cases it's more synergy related, technology related, market access related. But overall as Robert said, I think we look at businesses that share the margin profile we have and we look to increase those along with being able to improve the growth prospects for the company. But again, the pipeline what I would say pretty active right now. We have certainly seen with some of the recent M&A activity out there some owners expectations as far as the multiples trying to go up. But we haven't actually found that we have had to pay anything more than we would have wanted to for these acquisitions and try to structure them for the advantage to the owner to stay with us and work with us for a while.
Jermaine Brown: Understood. And finally, can you comment on the raw material environment?
Charlie Shaver: So overall raw material environment as we look at our basket of products, I think we expect raw materials to be fairly flat in the third quarter compared to what we have seen in the second quarter of 2016. Oil prices of course have flattened out. Our expectation although we could be wrong is that we would expect to see oil prices and some of these prices kind of stay kind of in this range with the near future at least according to what we are seeing in the marketplace and some of the market [technical difficulty] that we are looking at. If we look across the basket of what we buy pretty much everything is either flat, slightly up or slightly down in terms of what we are seeing from a pricing perspective. Nothing is really material up or materially down. So I think that gives you a sense of how all these [indiscernible] moving forward.
Jermaine Brown: Thank you very much.
Operator: Our next question is from the line of Christopher Parkins with Credit Suisse. Please proceed with your questions.
Christopher Parkins: Perfect. Thank you very much to hit on this a little bit within the auto OEM segment can you just walk us there is very quickly any key trends in the US, Europe, and China and in China in particular if there is anything regarding comps versus 2015 as well as our Outlook for the ramp of some of the new facilities that would be particularly helpful. Thank you.
Charlie Shaver: Yes, sure. This is Charlie, let me comments and then may be Robert will add a little detail. What we would look at is not so much overall country trends or region trends, we tend to build our forecast based on our specific OEMs and that’s how we kind of look at the world. I would say North America last year and this year continued favorable trends in our business both in technology shifts from some business that we've acquired, but also just certain of the OEMs we’re aligned with are doing particularly well. And in EMEA, again not year-over-year for us with the OEMs that we are aligned and we think both of the trends for North America and EMEA certainly will continue through the balance of the year. For North America, we include, although Mexico is part of Latin America for us, we always look at Mexico as part of North America from the standpoint of the OEMs balanced our production. In Latin America, specifically South America, Brazil, we've seen it flatten out now, no more downward pressure. It certainly seems to be maybe the Brazil is bottoming out with car build of around 2 million this year. we will just have to kind of wait and see over the next quarter or two, if there is some consumer optimism return once you get pass the Olympics, in dealing with trial and some things like that. In China, our OEMs continue to be pleased with overall China business. Certainly as we go into this year, it’s more stable than it was last year, we saw in third quarter last year if you remember certain OEMs took big shutdowns, extended those shutdowns. So we see the environment fairly stable in China for us. We've got some new businesses over the next year that comes online and the OEMs were more aligned with the multinational OEMs than we are from the Chinese OEMs. So I would say there growth is going to be slower over the next year, the multinational’s versus the Chinese OEM’s. But again, I think they are both segments that market tend to be pretty healthy, fairly stable and we just see normal shutdowns right now. Model changeovers, there is certainly a shift, more crossover SUVs and things like that going on. But overall fairly stable marketplace at this point, we are just kind of focused on some initiatives we have over the next year over there.
Christopher Parkins: Perfect.
Robert Bryant: Just to complement what Charlie said there, on light vehicle again. North America is very strong consistent with what you are seeing in some of the market forecasts. EMEA, I think, I have mentioned on our last call that we want even better performance that we had in the first quarter and that came through in the second quarter, I think we are happy to report. Latin America continues to be challenged. And then as Charlie said, the overall market conditions in Asia-Pacific continues to be favorable. We did however have one of our large customers in China idle their plant for a few weeks in the quarter, which did somewhat impact our sales.
Christopher Parkins: That’s very helpful. Thank you. And very quickly on your cash flow of $197 million it appears better than expectations with you in perpetuity to lower working capital use can you just comment on the trends that led to these improvements both in the present and probably more importantly the future, as well as you are balancing some of these improvements with the potential needs for growth prospects. Thank you.
Charlie Shaver: Sure. Happy to do that, we had in material improvement in working capital as you see, if you look at some of the first half data total company work for the quarter. You will see it’s a substantial improvement. We have had a working capital improvement initiative that we launched at the beginning of the year and we believe attacking all aspects of working capital in the company. And I think in the previous calls we have mentioned of some of the changes in operations, as well as changes in supply chain management that we've been making that have then permitting some pretty interesting improvements in the area of inventories and then also through better systems and just overall management of our supply base. We have also been able to make some attractive improvements in the area of payables. And accounts receivable, although we've made a little bit of an investment this quarter given some large new business that we've won in the first quarter and second quarter. We have seen improvements in accounts receivable as well. As we move forward though, return on invested capital and you know that we are putting in the from a working capital perspective is a key area of focus.
Christopher Parkins: That's very helpful. Thank you.
Operator: Our next question is from the line of Arun Viswanathan with RBC. Please go ahead with your question.
Arun Viswanathan: Good morning. Thanks guys first off on refinish very strong quarter maybe you can just discuss your expectations for the second half of 2017. Would you expect mid-single digit growth to continue and would it be driven by volume. I know that there was a price increase last year in Q3 in North America. Is that still on the table for this year? How do you expect that to play out this year?
Charlie Shaver: Yes, I think as we look at our refinish business, we are very optimistic and very encouraged by what we are seeing in that market. We have also from a commercial execution perspective been doing very well. We spent a lot of time talking about North America in the past, but we've also been making some very important gains in Europe, as well as Asia Pacific and Mexico and you are starting to see the benefits of many of those commercial efforts in our results. So, I think we see a fairly positive outlook for the remainder of the year for refinish and moving forward in 2017 we haven't provided any the numerical guidance for 2017, but I think there is no reason that we would expect to see those trends to change. Refinish continues to be the core business of Axalta and it will continue to get our core focus and attention.
Arun Viswanathan: Okay. And then on the auto OEM side, you noted that there has been some change I guess in IHS expectations and we've all seen some moderation in global SAAR both in U.S. as well as I know European registration are still ticking pretty high. But, what are reasonable expectations to have over the next couple of years? I know at the Investor Day you talked about kind of mid-single digit growth globally. Is that still a fair expectation for next couple of years and what is the composition, is that more growth from India, potentially offsetting some swelling in North America and Latin America or how you see the regions kind of playing out? Thank you.
Charlie Shaver: I think our expectations remain the same, we you may remember back at Investor Day we've said we expected modest contribution from increase in SAARs and again our plan is kind of built up by what we think our - the OEMs that we are strongest with are going to do. So I think we are thinking about it that we will get contribution from all four regions with some of the growth initiatives. We have even though overall SAARS in places like North America and EMEA, we don’t expect to see - we expect those SAAR to be more flat to maybe up a couple of percent. We do believe, there will be a recovery in Brazil albeit slow off of its base and we have a large business there. And then we would continue to see China with modest growth in SAAR the next couple of years. So between initiatives we already have on content. Again, you just saw us last couple of weeks acquire an interior coatings business here. So we are working on increasing our content on the vehicles and part of that growth comes from increasing content. So it’s less about what is going in SAARs and just some of our technology initiatives. Again, when you look at our overall R&D and technology spend of over $170 million a year, a significant amount of that goes into OEM. So, we will continue to increase content, increase technology. So if I had to look at it, I would say half is content and technology changes and the other half would just be the OEMs we are aligned within the four regions having growth.
Arun Viswanathan: That’s helpful. And then just lastly, I don’t know, if you quantify the cost savings that you achieved in the quarter and I know you are still targeting the $60 million for the year. Any chance that you would want to accelerate those savings or increase your target there?
Robert Bryant: So the cost savings programs both Axalta Way and Fit-For-Growth continue to move along consistent with our plan for 2016 and as we come into the back half for the year and we starts to talk about some of those targets and plans for 2017. We may be all the way through the EMEA Fit-For-Growth program, we will have to see in particular how FX plays out there, but we could be finished by the end of the year. We will wait and see. And then on the Axalta Way programs, we continue to perform exactly as grow our plan for 2016, so we are very excited about that. That being said, there are additional productivity improvement initiatives that we will have. We haven’t provided any guidance or any additional information about that just yet.
Arun Viswanathan: Great. Thank you.
Operator: Next question is from the line of Vincent Andrews with Morgan Stanley. Please go ahead with your question.
Matthew Grainger: Good morning. This is Matt Grainger on for Vincent. I was wondering if you could quantify the impact of sales from the acquisitions for the back half for the year?
Charlie Shaver: Matt as we think about the acquisitions, our goal for 2016 was to try to add around $100 million or a little more in top-line sales via M&A. With these three transactions together, we've done that, but they will ramp up in the back half for the year. So only a portion of that will actually come through for the full-year, but I think that should give you on just kind of a general sense.
Matthew Grainger: Okay.
Charlie Shaver: The other element is we still have one of the transactions, which still have to close and the timing of the closing of that transaction will also have an impact on that number.
Matthew Grainger: Sounds good. Thank you.
Operator: Next question is from the line of Aleksey Yefremov with Nomura Securities. Please go ahead with your questions.
Aleksey Yefremov: Good morning. Thank you.
Charlie Shaver: Good morning, Aleksey.
Aleksey Yefremov: Good morning. What level of financial leverage would you consider initiating share buybacks. Would you want to be at the high-end of your target range or the low-end?
Charlie Shaver: Yes, this is Charlie. I think it’s a topic will take us in the second half of the year both as management as a board. Again, I think what we had said was, as we got into the 2.5 to three that range that was only start of discussions. So, if you think about, as we look at the next couple of quarters and certainly over the next year we think we get down in that range, so I would think it would be a discussion we will have in the second of the year as a board. I don't want us to put in place a buyback plan until we are actually really ready to it, I think that might be false expectations, but it is an active topic and one I think as a board and as management we will look at here in the second half of the year. Can't promise when we would do it, but as far as the high or low-end of the range I think my general view as a CEO is markets are stable and we are in a favorable macro environment where we feel pretty good about visibility going forward of our key markets. Then you could argue for as you get into that range there is certainly no reason you got to wait till you get to the lower-end of the range.
Aleksey Yefremov: Thank you, Charlie. And as a follow-up could you comment on pricing, are you raising prices in any of your businesses in the second half and what has been better behavior especially in OEM market?
Charlie Shaver: Yes probably not best to comment on overall pricing or pricing strategies or plans, just because it's competitive environment and customers don't appreciate that either as those tend to be individual discussions. But I think the environment overall, again we are now looking at raw materials that we think later this year start to rise and so we are always looking at pricing across all our markets and capturing value with technology change or shifts in the market. But I think it's kind of where we are. I think our plan as we look at the second half of the year really don't change in that view right now.
Aleksey Yefremov: Thank you very much.
Operator: Our next question is from the line of Bob Koort with Goldman Sachs. Please proceed with your questions.
Christopher Evans: Good morning this is Chris Evans for Bob.
Charlie Shaver: Good morning Chris.
Christopher Evans: I was just wondering if you can talk about the impact of new plant wins in the year and going forward you are kind of setting a big number there and just kind of wondering how these new plant wins might impact your OEM sales versus market?
Charlie Shaver: I think as we stated before, as we look at OEM and we have pretty good visibility and where new plants are, there is always a certain amount of business out there that OEMs have out for [RFQ] (Ph) of markets. And I would say there is that as we are going through the year, we are pretty much where we would - we won the business that we thought we would win, we are competitive on other business we thought would be competitive. So, I don't think there is any change there on whether we won more than we thought we should or not or anything else, I would say we are pretty much where we thought we would be on business we are going after and business we are winning. The OE environment again, when you look at car builds, when you look at new plants out there, unlike may be three, four years ago where there was a lot of movement a lot of shift. I would say it's a pretty predictable environment right now. And where we have been winning business has really been on what people are doing model changes or technology changes and we will even work into effect it. But I don't see any major shifts in the market right now, I think we are winning the business we've wanted to and certainly have had no losses that were we pleased to believe in.
Christopher Evans: Okay. And just I wanted to get your comment on sort of the consternation many people had over North American SAARs peaking and just how justified are those worries and how do you see the growth rate is actually trending in that in North American market?
Charlie Shaver: I think North America, our view is certainly as we came into this year was we thought it would be a fairly flat environment on car builds, when you look at lease rates cars coming off of leases, customers preferences, you certainly see customer preferences with lower gas prices, trucks are strong, SUVs, crossover SUVs are strong. So I think is really more about customer preference shifting, but we have very good insights into the aftermarket as well, not only because refinish, but some of our customers are big in aftermarket sales. And I think overall, they feel pretty comfortable about the overall balance in the environment, in the balance going forward. I don’t think anybody see a big upside, but right now it’s hard to see what the catalyst would be for a larger downside either. I think it’s going to be more people’s performance even like ours are going to be dictated more by as we go forward, are there more trucks sold, are there more crossover SUVs, what the customer preference is. And so for us, I think over the next year, we see even if SAARs were to go down a little bit or shift around, we don’t think that there is not certainly any shift in our business. But it’s hard to see what the catalyst would be for a large pullback, unless there were some geopolitical events out there.
Christopher Evans: And maybe just one real, quick one. Can you just tell me the impetus for the increase investment spend in performance and what you are specifically doing?
Robert Bryant: Sure. So again without indulging too much competitive information. We continue to grow the refinish business and that continues to be the primary focus of Axalta. Additionally, in industrial, we are making very important inroads, in that market and plan to grow in that market aggressively. And if you look at the acquisition of DuraCoat, our plan to build the material position in the coil coatings market in North America and overtime globally, those are indicative of the types of areas of focus that we have in the company.
Christopher Evans: Thanks guys. I appreciate it.
Operator: The next question comes from the line of John Roberts of UBS. Please proceed with your question.
John Roberts: Thank you. And my apologies if this was asked, I have been on another call at the same time, but I guess you get the flat to yourself in a quarter so. I have lost track of the depth of the commercial vehicle decline. Do you think that we need four quarters of stability to kind of lap how far down we come here? Do you think there is a chance we actually make it a balance before then?
Robert Bryant: I think if we look at commercial vehicle build volumes, back in 2015, 2014, we were peaking at about 320,000 units in North America heavy-duty truck. I think we’ve commented that our guidance was based on 230,000 to 250,000 builds for the North America market. The North America markets at the lower end of that range from a independent market forecast review at this point. But it is probably still John to your point a few quarters at least, before we would see a material uptick back that in that market, at least in terms of how we are planning and thinking about things.
John Roberts: Okay. And then Robert, when you mentioned the reduction in non-operating losses in North America, in the release. Is that just FX related loss or is there something else non-operating that you are referring to?
Robert Bryant: No. That relates entirely to the impairment of a real estate investment that we have in Latin America.
John Roberts: Okay. Got it. And how much was that?
Robert Bryant: The total amount for this quarter was $10.5 million and we had previously impaired that asset by about $31 million.
John Roberts: Thank you.
Operator: Our next question is from the line of Laurence Alexander with Jefferies. Please proceed with your questions.
Daniel Rizzo: Hi this is Dan Rizzo on for Laurence. Some of the consolidation were not in the industrial end-market is that increasing competitive pressures at all?
Robert Bryant: This is Robert it's always been a competitive market. We expect it to continue to be a competitive market, it's not a concentrated market as refinish or light vehicle or commercial vehicle, but there are a multitude of segments within industrial. And we're really trying to focus on the high margin segments where there are real products that have to specked in with a customer and have large notes from a competitive perspective where we can really bring to bear our competencies and our technology.
Daniel Rizzo: Okay. And then with M&A, is there any interested in may be moving downstream or just diversifying away from what guys are doing now?
Charlie Shaver: I think right now our we do the pipeline is pretty full, I think there is always a danger when you go downstream that you are buying into what some of your customers may view as their marketplace. So I think as long as we continue to see so much room and specifically Performance followed Transportation, we see more than enough to do over the next couple of years in just the core markets we're in where we believe we can continue to effect and be a consolidator for businesses that had decent growth rates and good margins and we can bring appreciable synergies. So, going downstream and going upstream right now I think this size company we are and the opportunities in front of us, I’m not saying we wouldn't do it if it was opportunistic, but it's not part of our strategy.
Daniel Rizzo: Alright. Thank you guys.
Robert Bryant: Before we go to the next question, this is Robert. I did want to make one addition to the answer to John Robert's question and that was of the item that you asked about not only includes the impairment, but also includes exchange losses. Thank you.
Operator: Our next question is from the line of Mike Harrison with Seaport Global. Please proceed with your questions.
Michael Harrison: Hi good morning.
Charlie Shaver: Good morning, Mike.
Michael Harrison: I was wondering if you could give a little more color on your comment that Q2 came in better than expected and Q3 sounds like it's going to be a little bit slower in terms of the growth rate relative to Q4? Does that suggest that you think there was some pull forward of demand into Q2 and if so what markets does that occur in?
Charlie Shaver: I think as we look at the business, we've commented before, with each quarter especially dealing with the number of businesses that we have that involve distribution between us and between the customers, it just came out of inventory and the timing of price increases unrelated to foreign exchange. Just natural business price increases, the pattern of those and when those occur can cause more volume to go through in one quarter versus another. And I think just in terms of looking at what we think are inventories in the channel, as we look at Q2, we just had to outperform in a numbers of regions, particularly in the refinish market. And as a result of that I think from just a perspective of prudence and conservatism we would expect that to have some spillover effect in particular in our July sales.
Michael Harrison: Alright. Thank you. And then also was wondering if you could comment on the auto OEM business in China and just with respect to the tax incentive that’s in place. My understanding is that set to expire at the end of the year, pretty widely assume that they are going to extend it, but what is your view on the tax incentive and what does it mean if they extended it versus letting it expire. Thank you.
Robert Bryant: Yes. I mean, I think you described it pretty well. Certainly the incentive out there. I think the reason, most people would believe that they will extended is that China is working - first of all automotive is extremely important to that economy, because the number of jobs and GDP created. But also the fact that it continues to be something of a tool to help keep their economy going and it is an easy one to do. So I think, we would agree with you, they will probably [indiscernible] works, I mean, we have certainly seen changes in the past, I think if they don’t given that the China market has already in the last couple of years kind of come to more of a natural balance. I don’t think, we would see a dramatic effect, but you certainly could see a quarter or two some readjustment on people who probably would naturally wait to see, okay can I wait a quarter, can I wait a few months and the government put it back in. We've seen several of those over the past couple of years where the government takes away an incentive or they add something and customer no different than here in North America, customers will wait for few months to see well is it going to the replaced by something else. And then if it isn’t, then they move forward with a purchase that they probably would have may anyway. And sometimes you could just see three to six month delay in customer behavior. And we see that happen across all of the markets where tax incentives get changed or insurance premiums get changed and people change their decision making by usually after three to six months, the discretionary or non-discretionary purchase that they were going to make, they go ahead and make. But I think, I tend to lean in your camp where that the government needs to keep things moving over there and this is an easy one for them, it may take some different shape or form or size engine or something like that. But it’s hard to see why would pull it at this point given they are trying to keep the growth rate up in their economy.
Michael Harrison: Thanks very much.
Operator: At this time, I will turn the floor back to management for closing remarks.
Charlie Shaver: Okay, great well listen, thanks everyone. Hopefully the information was helpful for you in our prepared remarks. And I appreciate the really good questions. Again, all-in-all, a good solid quarter for us as we’ve highlighted our markets remained fairly healthy. We’re certainly looking for some of our markets as we go through in next couple of quarters like Brazil to hopefully stabilize and do a little better. But overall, the business remain as Robert and I both pointed out pretty much on-track for the year and as always you have got to watch some of these events going on in Europe. Over the last month, Brexit gets a lot of attention, people should not slight what is going on in Turkey and some of the events in Germany and France. And the only reason being is I think those type of things in my history seem to effect consumer sentiment. And while demand always balances back half, it can always be moving parts there. So we watch those closely and not seen any effect on our business, but I think they are things to watch. But overall, our markets remain sound and we are pleased with our performance we've got this year. And look forward to being back and discussing third quarter with you. Thank you.
Operator: Thank you. This concludes today’s conference. Thank you for your participation. You may now disconnect your lines at this time.